Operator: Hello, and welcome to The Greenbrier Companies Third Quarter Fiscal 2024 Earnings Conference Call. Following today’s presentation, we will conduct a question-and-answer session, each analyst should limit themselves to one question, with a follow-up if needed. Until that time, all lines will be in a listen-only mode. At the request of The Greenbrier Companies, this conference call is being recorded for instant replay purposes. At this time, I'd like to turn the floor over to Mr. Justin Roberts, Vice President and Treasurer. Mr. Roberts, you may begin.
Justin Roberts: Thank you, Jamie. Good morning, everyone, and welcome to our third quarter of fiscal 2024 conference call. Today, I’m joined by Lori Tekorius, Greenbrier's CEO and President; Brian Comstock, President of the Americas; and Michael Donfris, Senior Vice President, Finance and soon to be CFO. Following our update on Greenbrier's Q3 performance and an update on our outlook for the remainder of fiscal '24, we will open up the call for questions. In addition to the press release issued this morning, additional financial information and key metrics can be found in a slide presentation posted today on the IR section of our website. Matters discussed on today's conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout our discussion today, we will describe some of the important factors that could cause Greenbrier's actual results in 2024 and beyond to differ materially from those expressed in any forward-looking statement made by or on behalf of Greenbrier. Additionally, we will refer to recurring revenue throughout our comments today. Recurring revenue is defined as leasing and management services revenue, excluding the impact of syndication activity. And with that, I'll hand the call over to Lori.
Lorie Tekorius: Thank you, Justin. Good morning, everyone. I hope everyone had a safe and cool independence day. Before we launch into our quarterly results, I'd like to introduce Michael Donfris. As we announced in May, Michael has joined us as our new CFO. He brings considerable experience in leading financial operations and implementing strategy at major industrial businesses, including those operating in rail freight and equipment markets. Although, Michael is with us here today, he gets a pass on Q3 results. But as he comes up to speed on Greenbrier, you can expect him to be a full participant when we discuss year-end results in October. I'll go ahead and get us started. I am very pleased to report that positive momentum has continued at Greenbrier. We are progressing with our multiyear Better Together strategy and getting great results. In the third quarter, we generated our highest earnings per share and EBITDA in over 4.5 years, reaching a level last seen before the pandemic. Our consolidated gross margin remains in the mid-teens with 90 basis points of sequential expansion. Operating efficiencies continue to improve, and we're advancing key initiatives across the organization, such as our lease fleet expansion and in-sourcing initiative in manufacturing. We are ahead of schedule to accomplish some of our strategic goals and on track for the rest. With that said, optimizing our operations is an exercise and continuous improvement. But I want to recognize everyone from the shop floor to the leadership team at Greenbrier for helping achieve early wins in our ambitious Better Together strategy. Turning to our results. We generated over $820 million in revenue during the third quarter. Consolidated gross margin of 15.1% is our third consecutive quarter of margins hitting the mid-teens, driven by product mix, syndication activity and continuing operating efficiencies. We expect this momentum to continue. And as you may have seen in our press release, we narrowed the range of our revenue and delivery guidance. We expect the mix and cadence of deliveries will increase in the fourth quarter. We also expect consolidated gross margin in the mid-teens to continue. This is one year ahead of the plan we set forth at our Investor Day in April 2023. We believe that the efficiencies we've gained are sustainable. Of course, there will always be -- there will always be work to be done. We continue to evaluate our operational activities and are focused on other actions to optimize our business. Order performance continued in Q3 at steady levels with Greenbrier receiving a diverse mix of orders by car type across our geographies. Our focus on innovation supports our market-leading position. Recently, for example, Greenbrier successfully introduced our ultra-high strength steel gondola and our new Multi-Max Plus design for moving automobiles by rail that's been well received by the market. Brian is going to share more on that in a minute, but this is meaningful for Greenbrier since freight rail moves nearly 75% of the new cars and light trucks purchased in the U.S. annually. We are proud to be a key supplier to the North American railway system, with lower carbon emissions, greater fuel efficiency and superior capacity, it's clear that rail transport is central to developing a more environmentally friendly transportation system. In May, Greenbrier was honored by USA TODAY, as one of America's climate leaders for 2024 based on our successful cargo reduction efforts from 2020 to 2022. We continue to make progress towards reducing Greenbrier's environmental footprint and are pleased to receive this recognition. Looking ahead, we see stable but good railcar demand across all our geographies. The current market is less volatile and consequently less prone to booms and bust than those the past decades. We at Greenbrier are focused on sustained higher performance across our business and across markets. Our commercial team with its strong lease origination capabilities continues to outperform, giving us excellent near-term visibility into manufacturing and steadily building our stream of repeatable lease revenues and cash flow. We're confident in the long-term strategy and multiyear targets and look forward to sharing our progress on future calls. With that, I'll turn the call over to Brian Comstock, who will chat about our activities for the quarter in greater detail and market conditions.
Brian Comstock: Thanks, Lorie. Greenbrier secured new railcar orders of 6,300 units worth $830 million in the quarter. Diverse demand continues across most railcar types. Backlog is strong at 29,400 units with an estimated value of $3.7 billion and provides significant revenue visibility. Our commercial performance reflects our leading market position strong lease origination capabilities and direct sales experience. Momentum in our international markets continues with about 25% of the orders originating in Europe and Brazil. Our international backlog remains healthy and our sales pipeline is strong. Additionally, volumes through our European leasing channel continue to grow, and I'm pleased to report that we delivered our 1,000 leased wagon in Q3. This is quite an achievement since we entered the leasing space just a year ago. Our ability to originate and syndicate leases is vital to the long-term performance of our European manufacturing business, and we see potential for future growth. In Q3, we delivered 5,400 railcars, which is down slightly from the prior quarter. A few production line changeovers impacted production rates and ongoing border congestion caused about 100 units to be delayed. The delayed units crossed in June and the changeovers were completed in the quarter, positioning us for a strong Q4 for production and deliveries. Third quarter manufacturing gross margin of 10.9%, increased modestly from Q2. Several of the efficiency gains we have made over the last 18 months are being sustained, and we continue to work on others. The expansion of the in-house fabrication for basic primary parts and subassemblies remains on track, and we expect the full benefit from insourcing to be realized by the spring of fiscal 2025. Leasing and Management Services had another good quarter and added 600 units to the lease fleet, while fleet utilization was stable at 99%. We expect to invest approximately $265 million on a net basis in the fleet this year in support of our multiyear goal of doubling recurring revenue. We will continue investing up to $300 million per year on a net basis as long as the additions meet our return criteria. Our fleet growth is disciplined, and we are only investing in the right assets with the right lease terms and counterparties. As the fleet has grown, the quality has improved with extended lease terms, newer railcars and a good balance of commodities and railcar types. We expect the result will be a large, stable stream of higher margin revenue that reduces the impact of market cyclicality on our results. Lease durations are strategically staggered and create opportunities for favorable renewals. Our lease renewal rates continue to grow at double-digits. You may recall that we had nearly 23% of leases in the fleet expiring this year after a portfolio purchase in 2021. We have successfully renewed or remarketed the majority of these leases at more favorable lease rates and only have a few hundred waiting renewal or remarketing opportunities. We are confident we will finish the year successfully on this front. Debt for the fleet is managed conservatively. Evaluation of our financing strategies is ongoing and part of our prudent approach to growing the leasing business. On average, interest rate is in the mid-4% range, which is significantly lower than current market interest rates. At the end of Q3, our fleet leverage was 77%, in line with the prior quarter and within our targeted fleet leverage framework. In Q3, syndication of 1,700 railcars with multiple investors generated strong liquidity and margins. We are pleased with the reception of our syndication investors have given to our updated auto rec product, the Multi-Max Plus. Successful syndication of this car type helps to drive market acceptance of Greenbrier's innovative design. Overall, our performance in the quarter shows the appetite and liquidity in the syndication market remains solid despite the higher interest rate environment. We continue to advance initiatives to improve maintenance service efficiencies by optimizing car flow, material planning and cycle times at all facilities. I was pleased to visit repair locations in the network recently and especially appreciate the dedication of our hard-working employees. The North American railcar market remains stable through economic and geopolitical uncertainty. Industry forecast for deliveries in 2024 and 2025 are projected to be below the 40,000 unit replacement threshold, we view these forecasts as conservative, and it's worth noting that forecast for both years were recently revised upward. Our robust backlog, including our international activity, provides revenue visibility and stability. Railcars and storage are close to the cycle's trough and primarily including railcars that are not in demand like frac sand and cold railcars as well as outdated tank cars. The lack of supply of available railcars is leading to higher utilization rates and supporting higher lease rates along with longer lease terms. Greenbrier's management team is experienced and agile. We are confident we have the right strategy in place to successfully execute our plan. Now, I'll hand the call over to Justin, who will speak to the financial highlights for the quarter.
Justin Roberts: Thank you, Brian, and good morning, everyone. Today, I'll be covering the financial highlights of the quarter and providing an update to our fiscal 2024 guidance. But before moving into the highlights, I would like to remind everyone again that quarterly financial information is available in the press release and the supplemental slides on our website. We are pleased with Greenbrier's Q3 performance and expect to finish the year on a strong note. Our operational leverage continues to improve, and we expect to drive incremental profitability in the fourth quarter and into the next fiscal year. Now on to the quarter. With the new railcar order and the delivery activity that Brian spoke to, this resulted in a book-to-bill of 1.2 times. We generated consolidated revenue of $820 million and gross margin percent of 15%. This was our third consecutive quarter of a mid-teen gross margin and reflects ongoing improvements in operating performance. Selling and administrative expense was $59 million, a decrease from the prior quarter due to lower employee related costs. Net earnings attributable to non-controlling interest, which as a reminder, represents our JV partner's share of earnings was about $7 million in the quarter and was higher than Q2 sequentially. This change reflects stronger performance primarily in our Northern Mexico manufacturing joint venture. Net earnings attributable to Greenbrier were $34 million and generated diluted EPS of $1.06 per share. And finally, EBITDA was $104 million or 13% of revenue. As Lorie mentioned, EPS and EBITDA reached the highest level in over 4.5 years. But I want to be clear on this, this is not as good as it gets and we are not satisfied yet. Shifting focus from our income statement to liquidity. Greenbrier generated operating cash flow of $84 million and a year-to-date total of $138 million. Liquidity in the third quarter improved to $605 million, consisting of $270 million of cash and available borrowings of approximately $335 million. Strong earnings and improved working capital activity drove operating cash flow and liquidity in the quarter. In Q3, we returned over $9 million to shareholders through our quarterly dividend of $0.30 per share. Over the last 10 years, we have returned nearly $520 million of capital to shareholders through dividends and share repurchases. Continuing our commitment of returning capital to shareholders, Greenbrier's Board of Directors declared a quarterly dividend of $0.30 per share, which is our 41st consecutive quarterly dividend. Based on the closing price on July 5, our annual dividend represents a yield of approximately 2.5%. This is a great way to create long-term shareholder value and we will periodically evaluate increases to the dividends as we continue to opportunistically repurchase shares. Finally, shifting over to our balance sheet, Greenbrier has no significant near-term debt maturities. As of May 31, approximately 85% of our debt is fixed with a weighted average rate of about 4%. Additionally, and I want to make sure it's important to emphasize at this point, we remain focused on reducing and retiring our recourse debt as cash flows improve. Recourse debt decreased $11 million compared to the second quarter and has decreased $65 million over the last two quarters. Non-recourse debt will continue to trend with our leasing fleet investments. Greenbrier remains committed to creating shareholder value, optimizing our capital structure while returning capital to shareholders. And now on to our guidance update. Based on current trends and production schedules, we are narrowing our delivery guidance to 23,500 to 24,000 units which includes 1,400 units from our Brazil operation. To answer the question proactively, yes, this implies a significant increase in our Q4 activity. This reflects the combination of timing of syndications, increased production rates on a few lines and more direct sales activity versus Q3. We are also narrowing our revenue range to $3.5 billion to $3.6 billion. Consolidated gross margin percent for the full year has increased to the mid-teens, which we consider to be between 14% to 16%. Selling and administrative expense is expected to be approximately $235 million to $240 million. Capital expenditures have been modestly updated with manufacturing, investing about $150 million. Maintenance Services will invest $15 million and we will invest about $340 million in our leasing and management services on a gross basis. This includes current year CapEx as well as transfers of railcars that were produced in 2023, that activity was primarily completed in the first half of the year. Proceeds of equipment sales are unchanged at $75 million. In closing, I will echo the comments Lorie and Brian made. We are pleased with the quarter as positive momentum continues to drive increased profitability. Progress on our strategic initiatives is resulting in improving operating efficiencies, our robust backlog provides revenue visibility and stability, while liquidity and balance sheet strength allows for opportunistic growth. We have the right strategy and a plan to execute it. Greenbrier is well positioned, and we remain optimistic about the future. As Lorie mentioned in her opening remarks, since Michael started just a few short weeks ago, we are giving him some time to get up to speed on Greenbrier. We are excited to have him as part of the Greenbrier family and know he will provide a lot of value to this organization. With that, I'll hand it over to Michael.
Michael Donfris: Thank you, Justin. Since this is my first earnings call with Greenbrier, I thought it would be nice to say a few words. First and foremost, I'm excited to be here and have been impressed with the team members I've met and how well the company operates. I believe Greenbrier is well positioned in the industry for continued growth and success, and I'm thrilled to have the opportunity to contribute to the achievement of our strategy better together and believe our best days are ahead. I look forward to speaking with all of you on future calls.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] And our first question today comes from Steve Barger from KeyBanc Capital Markets. Please go ahead with your question.
Jacob Moore: Hi. Good morning, this is Jacob Moore on for Steve Barger this morning. Thanks for taking the questions. First, I wanted to ask on the manufacturing side about your order rates over the past few quarters versus the industry data. Your book-to-bill numbers seem to be holding in notably better than the overall numbers. So I'm hoping you can speak to anything Greenbrier specific that may be going on there and how you expect the differences in those trends to move going forward?
Brian Comstock: Yeah, Jacob. It's Brian. I think I take that and Lorie, you can chime in as required. I think the reason we're able to hold such a strong market share is really the mix of production that we have as compared to what the industry is building. We continue to build on a very diverse plane, and that gives us a lot of ability to address customers' delivery needs and the car types that are required. From a pricing perspective, the cadence is still strong. Pricing discipline is still good in the market, and we're seeing really no fall off or change. Lorie, any comment?
Lorie Tekorius: I'll just add that I think our lease origination capabilities gives us a great way to meet our customers where they are whether they want to buy cars or lease them, we can put that together with our strong product mix.
Brian Comstock: And I would say, finally, Jacob, to ground up the question is, we see the chance of orders continuing into Q4, very similar to what we've seen over the past three quarters. So we don't really see any change in the cadence as well.
Jacob Moore: Understood. Thanks, Brian, and Lorie, that's helpful. And then as a follow-up on the leasing side, I saw your notes on the lower leasing segment margin as a result of externally sourced railcars with an intent to syndicate. My question here is this going to become a common thread as you continue to grow the lease fleet and how much external sourcing do you expect to do compared to internal over the next few years?
Justin Roberts: That's a great question, Jacob. So this is something that we have done intermittently over the last probably five to seven years. It is -- many times it's very opportunistic. And a part of this is providing our syndication partners, additional assets that may be a little older than new railcars, maybe have different credit qualities or different commodity concentrations. And so it's something that's very hard to predict, but we do see it probably occurring a little more often as we move forward. And it's really going to be very, very hard to provide any quantitative guidance because it's deal by deal, transaction by transaction. But it is something that we are seeing as a little more activity in that market.
Brian Comstock: And Jacob, this is Brian. I'll chime in, as we look at secondary market transactions, specifically, it really also focuses on: a, number one, the returns, as we said, we're really a high quality, high credit focused organization and the mix of what is being offered, so that we can look at our concentration of our portfolios and how that fits not only internally but externally with our syndication partners. So we probably take a harder, more disciplined look than the market in general for that reason. But keep in mind, we also have the new car production as well that kind of helps us balance all of this out.
Jacob Moore: Got it. Thank you very much.
Operator: Our next question comes from Bascome Majors from Susquehanna. Please go ahead with your question.
Bascome Majors: Yeah. Good morning. I was hoping on the order question, if you could revisit that and talk specifically about the North American order flow, how you feel demand has evolved over the last two to three quarters. And ultimately, whether you think there's enough demand there to support a recent production rate into 2025 in North America? Thank you.
Brian Comstock: Yeah, it's Brian. I'll take the first part again, and Lorie, Justin, feel free. North American side of it is really what I'm focused on as well. When I talk about my comments on the cadence, the cadence is very strong. It's very diverse at this point. We still see quite a bit of tank car demand, covered hopper car demand, auto demand. And then kind of coming up one of the bright spots that we see in 2025 that didn't exist in 2024 is box cars. We're seeing that boxcar cliff is creating shortages in the marketplace. Some of the large buyers are back in the market for some fairly large interest at this point, we think those will materialize into orders. And then there's always intermodal while the demand is -- international demand is still strong. the fleet, if you look at the fleet of international intermodal wells, it's over 19% (ph) utilized at this point, which is a very, very high percentage of 40 foot units in place. So there could be some tailwinds from intermodal as well. But currently, the cadence in North America is very consistent.
Bascome Majors: Thank you for that. And if you could shift a little bit to the margin front. I mean you mentioned in the prepared remarks the piece of your insourcing initiatives really starting to hit and in full force next spring, some of the timing of some of the manufacturing cost savings you talked about at the Investor Day a couple of years ago, also really were aligned, I believe, in 2025. Can you just walk us through the mid and long-term cost out initiatives in your manufacturing process, what you expect to hit next year? And any quantification that you want to remind us, finally, any offsets that look like they might be bad guys to face off against what feels like a pretty good story of manufacturing margin improvement into next year. Thank you.
Justin Roberts: Yeah, Bascom. I'll take a shot at it and then Brian and Lorie can chime in as needed. So just to level set at our Investor Day, we spoke to two specific initiatives. One was a capacity rationalization primarily focused initially in North America that was going to generate about $20 million a year of cost savings. And we accomplished that actually last year. So we == with the sales of a few different facilities, we feel like we've taken out -- or we have taken out about $20 million annually on a run rate basis. And then, on the in-sourcing initiative, we spoke to savings of up to $50 million through the make versus buy and the internal fabrication activity, which along with some other management activities is going to generate a run rate of about $50 million of savings. And we believe we are on track for that with the majority of that, as we said, as we're finishing the internal fabrication. A lot of that will come online in spring of 2025. And the thing -- the puts and takes really it comes down to is volume of cars and production rates. And so if you think about we have an assumed kind of product mix that we predicted based on our backlog and other things, when we put this all together about one year, 1.5 years ago. And as that shifts, that's going to be the driver of any changes to those savings. At this point, we don't see a significant shift. We do expect to achieve it. And it really is just going to be a matter of kind of the timing and our production rates at the time. Please let us know better than quite answer the question you were asking or if there's something else.
Lorie Tekorius: Well, and I would just say, I think that in addition to broader efficiencies, the in-sourcing, we're starting to see some of those benefits in the margin, which has provided us the ability to have third quarter in a row of mid-teens consolidated margin. So it is a factor in that, and we haven't seen all that it will do yet.
Bascome Majors: And thank you, both. And maybe to connect with my first question and second, as a follow-up here. Ultimately, Brian talked about a fairly steady demand picture in North America. You talked about, I guess, the risk to margins being more about units in volume than necessarily anything internal supply chain or pricing related. Do you feel pretty good about a steady production cadence at least into the first half of next year or could there be some adjustments based on the last two or three quarters orders? Thank you.
Brian Comstock: Yeah. This is Brian. Maybe I'll jump in and Lorie, please feel in. But right now, we have strong visibility on order cadence through the first two quarters into the third quarter. And I would say it’s very consistent with what we’re seeing today.
Bascome Majors: Thank you, all.
Lorie Tekorius: Thank you, Bascome.
Operator: [Operator Instructions] Our next question comes from Ken Hoexter from Bank of America. Please go ahead with your question.
Ken Hoexter: Great. So Laurie or Justin, I guess -- or Brian, I guess looking at the ramp to the 7,000 plus cars in the next quarter. Third quarter production was down slightly. But I think you only mentioned 100 were caught in the line chain shift. Can you talk about the impacts into third quarter production and I guess, maybe an early read into next year. Are you looking at the same 23,000, 25,000? Is that the max production level? Is it scalable from here? I guess trying to understand kind of your thoughts on production.
Lorie Tekorius: Well, I'll start at the end and then work my way backwards. Yes, you've seen -- Ken, you've been following this industry for so long, you know how scalable we can be. But that's what's nice about having some nice steady demand right now. One of the things that impacted in Q3 was, we did have a few changeovers, which those are now complete in our North American facilities. So that would have been one of the impacts. Justin?
Justin Roberts: Yeah. I was going to say the 100 cars mentioned were actually caught in congestion at the border. So those were just -- it was just a timing shift from May into June. But the changeover has caused a lower production rate, which were ramped up now, and that's part of what is going to cause the Q4 deliveries to be higher along with strong syndication activity as assets come off the balance sheet.
Ken Hoexter: Okay. So to wrap that up, right? So 4Q, you get up to the 7,000 plus because you had some line changeovers. The 100 was only the border, I get that now. And then, Lorie, I guess maybe clarify that outlook for next year, just given your backlog, do you feel like you get above this 23,000, 24,000 or is that kind of the run rate based on your production capacity?
Lorie Tekorius: I would say, it's not our run rate based on capacity, I think that we've got significant capacity. We are focused on maintaining stable production, consistent with what our customers need. As I look into 2025, and we're not ready to give guidance yet, Justin is really trying to kick me under the table right now. But we think that we see, in the neighborhood of where we are in 2024 is what we expect to see in 2025 depending on where orders come in for the second half of the year.
Ken Hoexter: Perfect. And then for a follow-up, I guess, switching subjects to leasing. You've ramped up the revenue. You talked about kind of the ability to keep scaling the revenue side. Maybe you could talk about how we should think about the level of revenues you anticipate and how we should see that develop over the near term?
Justin Roberts: So we actually just expect to -- especially on the leasing piece, continue to focus on building the recurring revenue. It's just been a very stable, steady build over the last 18 months. I think it's up about $25 million since April 2023 when we first announced this initiative. And I would say, Brian can correct me or obviously disagree, but this is a steady as she goes. We're investing about $50 million to $60 million to $70 million per quarter of assets into the fleet. That is just continuing to build on top of each other. And then as we're going through our normal renewal process, we do expect to continue to make ground as old leases are repriced to the current market rates.
Brian Comstock: Yeah, I agree, Justin. The complexity in it is because we are very disciplined, and we're very focused on the mix and the credit quality is it's not a steady cadence. So it's not as easy. While we may be generating leases during the quarter, we have to then decide which ones are going to go on the balance sheet and which ones are going to be offered to the syndication market. So that was the only correction I make is, we do have this consistent build of originations each quarter, but it does still stay a little lumpy because of the decision process and how we manage the fleet and our syndication side of the equation.
Ken Hoexter: All right. Thanks, Brian, Justin, Lorie and welcome, Michael.
Brian Comstock: Thanks, Ken.
Justin Roberts: And with that, I think we will -- I was going to say with that, I think we will go ahead and end the call today. Thank you very much for your time and attention. If you have any other follow-up questions, please reach out to myself or investorrelations@gbrx.com. Thank you, and have a good day.
Operator: And ladies and gentlemen, with that, we'll be concluding today's conference call and webcast. We do thank you for joining. You may now disconnect your lines.